Operator: Ladies and gentlemen, good evening and thank you for standing by for New Oriental Third Fiscal Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. Today’s conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to your host for today's conference, Ms. Sisi Zhao, New Oriental's Investor Relations Director. Ms. Zhao, please proceed.
Sisi Zhao: Thank you. Hello, everyone and welcome to New Oriental’s third fiscal quarter 2015 earnings conference call. Our financial results for the period were released earlier today and are available on the Company’s website, as well as on Newswire services. Today, you will hear from Louis Hsieh, New Oriental’s President; and Stephen Yang, New Oriental’s new Chief Financial Officer. After their prepared remarks, Louis and Stephen will be available to answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in our public filings with the SEC. New Oriental does not undertake any obligation to update any forward-looking statements except as required under applicable law. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will be available on New Oriental's Investor Relations website at investor.neworiental.org. I will now turn the call over to Louis Hsieh.
Louis Hsieh: Thank you, Sisi. Hello, everyone, and thanks for joining us today. As announced earlier today after almost 10 years serving New Oriental’s CFO, I and our Board of Directors have decided it was time to transition this role to Mr. Stephen Yang. I am delighted to congratulate Stephen on his new position as our CFO. Since I hired him in 2006 Stephen and I have worked closely together for more than nine years and I am confident that he will make significant contributions to the company in his new position. I will remain President of the Company and will continue to be a member of the Board of Directors focusing on overall corporate strategy and online education initiatives. I want to express my sincere gratitude to Michael Yu and our Board of Directors for the opportunity it has been a great privilege and honor to serve as New Oriental CFO the past decade. I would also like to thank New Oriental’s more than 33,000 teachers and staff for their dedication through good times and challenging ones. We have accomplished a great deal growing revenues for approximately $90 million in fiscal year 2006 to almost $1.2 billion. A nine-year CAGR of about 37% and net income CAGR of over 55% to over $215 million. This tremendous financial performance has been reflected in New Oriental share price. Since our successful IPO on the New York Stock Exchange in September 2006 pricing at $15 per ADS, our share price has risen to almost $100 closing last night at $24.68 and accounting for a four-for-one stock split. I believe New Orientals best days lay ahead as China’s preeminent private education services leader. Finally, I want to thank New Orientals shareholders and equity research analyst for your tremendous support these past many years. And I look forward to continuing our professional relationship. Now, I would like to pass to CFO at the time over to New Orientals new CFO and my good friend Stephen Yang. Stephen, please.
Stephen Zhihui Yang: Thanks very much Louis. I’d like to thank Michael Yu, Louis Hsieh and our Board members giving me this great opportunity. All of you have been given me full supports and trust during the past nine years and I look forward to working with you continuously as we move forward. Turning to a summary of our third-quarter results, we’re pleased that we complete another solid quarter with the revenue out by 13.1% year-over-year to US$287.7 million. This increase was mainly driven by strong performance of our K-12 all-subjects after-school tutoring business, which grew 22% year-over-year to approximately US$143 million contributing almost half of our revenues. One of our key segments the U-Can business saw an increase of approximately 29% in gross revenue and 12.4% in enrollment growth. As we discussed in the second quarter the company has started to implement new customer loyalty programs to encourage repeat business and for the third quarter this results in deferred revenue of about US$3.7 million, which is expect to be recognized within two years without any additional expenses associate such revenues. So including this is our top line growth would have been 14.6%. As mentioned this will be just temporarily temptingour revenue. After six months of implementation the Company has decide to narrow down the scope for loyalty programs to K-12 only starting in the month of April. By doing so we will be better able to capture the benefit of this program because K-12 much higher lower rates than any other business lines. That said, we expect the impacts of loyalty programs on quarterly revenue will be reduced which will be reflected in the performance in the first quarter of fiscal year 2016. Turning back to the business performance, one of most exciting news for the quarter expect our revamped POP Kids program has continued to turnaround with gross revenue growth about 7% and enrollment growth of 16%. This is the first time we experienced revenue growth since its nationwide rollout in the second quarter. Our new offerings have reached 36 cities so far across our national school network and market feedback has been very encouraging. In first six weeks of the fourth fiscal quarter the POP Kids program reported over 30% growth enrollments and almost 40 gross in cash receipts versus the same period last year. We will continue to rollout our new POP Kids offerings in the fourth quarter and we expect to see full pickups on both gross revenue and enrollments. Total enrollments for the third quarter were flat year-over-year, but this was mainly due to the timing of the Chinese New Year in 2015, which we addressed in our earnings call for the second quarter. The holiday occurred later this year, delaying enrollments for Spring classes and resulting in a shift to the fourth quarter. In the first six weeks of the fourth quarter there have been a significant 35.8% uplift year-over-year enrollments and a 43% increase year-over-year in cash receipts with cash collects events for enrollments. Before looking at aggregate third fiscal quarter and first six weeks of the fourth quarter will be most accurate to extend the business trend, but total enrollments for period over the third fiscal quarter and the first six weeks of our fourth quarter increased by 9.5% year-over-year. For the same reason we reduced class our incentive to fit in two terms of the courses we have in the winter break shortened class length as detents our ASPs with overall growth of 2.2% year-over-year. However, if you look at on apple-to-apple basis ASPs increased by 5% to 10% breaking it down on an hourly basis lend ASP for POP Kids increased by 5% and U-Can program grow between 5% to 10%. Now let me walk you through our performance across individual business lines. Our K-12 all subjects after-school tutoring business continue to beat our key revenue driver and we recorded gross revenue growth of 22% year-over-year for the third quarter. During the quarter this contributed to almost half of our revenue even higher than 41% in the second quarter as this business were getting into its peak season. Breaking down a bit fuller U-Can middle school, high school all-subjects after-school tutoring business achieved a gross revenue increase of approximately 29% year-over-year. During enrollment grow approximately 12.4% year-over-year and slow down of gross were due to the timing of Chinese New Year of 2015 as explained earlier. And for the third quarter the gross revamped POP Kids program business has turned positive for the first time since its rollout in the second quarter with the gross revenue growth of approximately 7% and enrollment growth of 16% with the new and better offerings we are well-positioned to realize for the growth in K-12 business. I also like to add our new POP Kids program has already been well received by the students and markets and we expect such positive performance to accelerate in the coming quarters. As we enter into fiscal 2016 this will sure helps New Oriental to fuller differentiate ourselves in the competitive market in China. Our overseas test preps and consulting business together achieved the revenue growth of more 10% year-over-year for the third quarter. Finally, the VIP personalized classes business recorded a continued revenue growth of 10% year-over-year in the third quarter. Turning to the balance sheet, New Oriental deferred revenue balance, which is cash collected from registered student for courses and recognized proportionally as revenues has been, instructions are delivered. At the end of the third quarter was US$424.9 million, an increase of 11.4% as compared to the US$381.4 million at the end of the third quarter of fiscal year 2014. Now, let me provide some updates on the ongoing execution for the optimized market strategy. Starting in fiscal 2015 we shift our operating focus to maintaining a healthy balance between top line and bottom line growth well capitalizing the substantial growth of China's online education market. We continue to make solid progress on all fronts which laying down group foundation for fiscal 2016 as previously emphasized as part of its strategy in 2015 investment mode upgrading the infrastructure of the optimizing resource in the existing CDs. The first quarter is half way down as we speak and we are preparing for the new fiscal year and by then which would be in a very good position to nearly increasing market demands and also capture the growth potential that we have identified. Let me first talk a little bit about the core of our business and our forecast and driving our offline initiatives. In the third quarter was fully expand in existing markets as we open 20 new schools and learning centers and closed 11 adding a net of nine. In first three quarters of fiscal 2015, we added net of 19 learning centers, bringing our total learning centers to 722 and expand some existing learning centers by adding a total of over 5,900 square meters of the additional classroom area. Going into the fourth quarter, we aim to open five to 10 new leaning centers in cities further driving both revenue growth and margin expansion. For fiscal 2016, we will continue to open new learning centers in existing cities and we will also explore the opportunities in three to four new cities or schools where we will see strong growth potential. Looking at our online side of our strategy, we have been a pioneer in the mobile internet online education in China and never see to improve from the progress in all possible ways in R&D advancements and also integration. Another vision of ours is to be the largest digitized content library for K-12 college education courses and tools in China. For the third quarter we spent about $8 million to US$9 million mostly of ways [indiscernible] as cost and G&A expenses. For full fiscal 2015 year the investments in online education is expected to amount to US$30 million to US$35 million. Before I go into the details over the progress we made during the quarter just a brief recap of all three levels of our online platform. The first level also the core of our online system is an O2O Two-way Interactive Education System across all our business lines. The second level is our pure online learning platform koolearn.com and supplementary online education products under the New Oriental brand. The third level of our ecosystem is for New Oriental to take minority shareholdings in online education companies that complement our own online education offerings. Let's start with O2O Two-way Interactive Education System which we’ve rolled out and upgraded in the first quarter across all major product lines aiming to extend New Oriental’s traditional offline classroom teaching offerings to the online education services. We launched the U-Can Visible Progress Teaching System into over 33 cities in September 2014. This is an online platform that supports after class self-learning and we expect this to help us better retain customers. This system is now being used in more than 40 cities and we expect total 50 cities by the end of the fiscal 2015. As I said earlier, we achieved a turnaround to revenue growth in the newly revamped POP kids English program Shuang You which offers interactive learning resources and multi-cultural experience based on students own interest. The new program has now reached over 35 cities and we expect this to continue to expand and contribute to our revenue growth. Well also been good results from the launch of the O2O Two-Way Interactive Education System for the domestic test prep program. The program has extended its coverage to six cities for the third quarter. In March, we launched the pilot for the O2O for overseas test prep and target official launch by the end of the fourth quarter. For the second level online education ecosystem we have seen substantial growth in Koolearn.com and other supplementary online education products. In the third quarter Koolearn.com generated net revenue of US$10.2 million representing a 39% increase year-over-year. The number one registered users has increased to more than 200% year-over-year and now the number of cumulative registered users has reached to more than US$10.3 million. Koo.cn, our own live broadcast open platform for both New Oriental and third-party teachers achieved about 256,800 registrations in third quarter. DONUT, a series of game-based mobile learning applications for children renewed its records of over 12 million download in the second quarter to more than 17 million by the end of the third quarter. Le Ci, an English language vocabulary training application were launched in late 2014 for mobile phones and tablet app reported over 1,146,300 users by the end of third fiscal quarter, this is an increase of more than 40% compared to the second quarter. Turning, to the third level of our online education ecosystem. We have invested in select online education companies with the minority stake and we still continuously set for new business opportunities that will not complete our own offerings, but also support our goal to develop our [indiscernible] online and offline integrated ecosystem. Our investments include [koolearn.com], Alo7.com, Tarena and Juesheng.com which are excellence in their own niche market. Last but not least it’s clear that our business is right on track as we laid out for the fiscal year 2015. Also as we mentioned in the past 2015 is an important investment year and during the third quarter our operating margin and net margin fixed with the short-term pressure which is within our expectation and as discussed previously. We do believe that this efforts are necessary as we’re eyeing the massive potential in the market enable us to solidify our market leading position. Now let’s take a quick glance at some of the key financial metrics for the third quarter in addition to the financials we mentioned in the beginning of the call. Operating cost and expenses for the quarter were US$256.3 million, a 14.6% increase year-over-year. Non-GAAP operating costs and expenses for the quarter, which exclude share-based compensation expenses, were US$251.9 million, a 15.3% increase year-over-year. Cost of revenues increased by 17.6% year-over-year to US$126.1 million, primarily due to the increases in teachers’ compensation for more teaching hours which is in line with our revenue growth. Selling and marketing expenses increased by 10% year-over-year to US$41.7 million, primarily due to the increase in selling and marketing staff’s compensation. General and administrative expenses for the quarter increased by 13.4% year-over-year to US$88.5 million. Non-GAAP general and administrative expenses, which exclude share-based compensation expenses, were US$84.2 million, a 15.8% increase year-over-year, primarily due to increases in R&D expenses and human resources expenses related to the development of our online and offline integrated education system. Total share-based compensation expenses, which were allocated to related operating costs and expenses, decreased by 16.7% to US$4.5 million in the third fiscal quarter of 2015. Income from operations for the quarter increased by 2.4% to US$31.4 million, income from operations would have been approximately US$35.1 million, if not for accounting effects of the company new customer loyalty programs. Non-GAAP operating income decreased slightly to US$35.9 million for the quarter. Operating margin for the quarter was 10.9%, compared to 12% in the same period of the prior fiscal year. Non-GAAP operating margin, which excludes share-based compensation expenses, for the quarter was 12.5%, compared to the 14.2% in the same period of the prior fiscal year. Net income attributable to New Oriental for the quarter was US$41 million, representing a 2.6% decrease from the same period of the prior fiscal year. Capital expenditures for the quarter were US$16.9 million, which were primarily attributable to the opening of 20 new learning centers and renovations at existing learning centers. Now let me go through our expectations for the fourth quarter before we move into the Q&A session. We expect total net revenue in the fourth quarter of 2015 to be in the range of US$322 million to US$333.5 million, representing year-over-year growth in the range of 12% to 16%, approximately US$5 million revenue representing about 2% of year-over-year growth will be deferred result from the company’s customer loyalty programs. If not considering this impact the product revenue growth rate is expected to be in the range of 14% to 18%. This forecast reflects New Oriental's current and preliminary view, which is subject to change. At this point, Louis and I will take your questions. Operator, please begin?
Operator: [Operator Instructions] The first question comes from Fei Fang from Goldman Sachs. Please ask.
Fei Fang: Hi, Louis, Stephen and Sisi, thank you for taking my question. Would you mind share with us more color along your investment plan on the online education initiatives and then the potential impact on your margins in the fourth quarter and the fiscal year 2016. How should we expect the margin trend in the coming quarters and also can I how quickly confirm with you that if we combine on the third quarter and the first six weeks the revenue growth would be 9.5% year-on-year growth. Thank you.
Stephen Zhihui Yang: Thanks. I will answer the second question from you if you combine the student enrollments in the third quarter and with the first six weeks in the fourth quarter. The student enrollments will be increased by 9.5% and for our online initiatives I think the most important parts is our O2O initiatives, in the almost past year we roll out our new revamped POP Kids program successfully and you can see the number in the Q3 our GAAP revenue for the POP Kids was up by 7% and going forward we are doing the same thing in U-Can and overseas test prep. And we spent US$8 million to US$9 million on the online - online O2O things in the third quarter and we will spend the same amount in the fourth quarter, but in the next whole fiscal year what I mean in 2016 we hope we spend not as much as this year. So that means it will help to improve the margins of next fiscal year. Does it answer your question?
Fei Fang: Thank you. Thank you, Stephen.
Stephen Zhihui Yang: Okay.
Operator: The next question comes from Alice Yang from Macquarie. Please ask your question.
Alice Yang: Hi, Sisi, Louis, and Stephen. This is Alice from Macquarie. Thank you very much for taking my question and congratulations for a solid quarter and Stephen for new position. My question is also related to the pure online part. So can you share with us what is the online revenue as a percent of total revenue in this quarter and how do you see the trend going forward saying fiscal years 2016 or 2017. How do differentiate your online versus offline costs I mean will you have any kind of concern or any kind of potential cannibalization between the two going forward. Thanks.
Stephen Zhihui Yang: Okay, thanks Alice. Our pure online revenue which means the koolearn.com the GAAP revenue of the Q3 was up by 39% so it’s much faster than our offline business. And I think going forward it will contribute more than before and because the big classes are not mission-critical test prep takers for example for the domestic and overseas test prep. On purpose, we moved the students from offline to online and so the online revenue is moving, but the online revenue is account for the 4% to 5% of the total revenue and in the next fiscal year it will be more than this year. So I think the difference between the online and offline classes - the first difference is the age. I think for the adult students or the college students are suitable for the pure online study for the K-12 most of them is suitable for studies offline. And so we moved most of the short-term not mission-critical of offline class from offline to online. So you will see the pure online revenue growth faster than our offline classes in the future, okay.
Alice Yang: Thank you very much. Very, very quick follow-up, [indiscernible] fiscal year 2016 or 2017, do you think that the online revenue will contribute like high single-digit percentage of total revenue you have...
Stephen Zhihui Yang: Yes, we haven’t finished the budget yet, but I think the trends will go up. So in the next two to three years I think the percentage of the online revenue will meet high single-digits, but maybe the 7% or 8% or 9% of the total revenue.
Alice Yang: Thank you very much, great.
Stephen Zhihui Yang: Okay.
Operator: The next question comes from Ella Ji from Oppenheimer. Please ask your question.
Ella Ji: Good evening, management. Louis, thank you for everything you’ve done for New Oriental, we will miss you and Stephen congratulations on a new role. I have two questions. The first question is relating to your POP Kids programs, it seems that you have seen such strong enrollment to performance with program, could you talk about your thoughts on price increases in future quarters? And secondarily also relating to your total OpEx spending I noticed the dollar amount for both sales and marketing in G&A declined sequentially from fiscal 2Q. Could you give us some colors why you spent a less money in the last quarter and how should we think about the dollar amount spending for the fourth quarter? Thank you.
Louis Hsieh: Okay, thank you Ella. And the first question about the POP Kids, the ASP and yes you are right. I think it’s a little more difficult for increase the ASP for the POP Kids because the class is not mission-critical, but we successfully rollout the new revamped product. So it makes us differentiate with any other competitors and our strategy is to seek the market share first and so we just keep the ASP interest rates by only 5%, but we still have the price power. That means I think we need more student to take the new product classes as early as they can and after they get forth we can continue before to increase the price.
.:
Ella Ji: Sure, then how about the dollars spending level for the fourth quarter?
Stephen Zhihui Yang: I think the amount is almost same as this quarter. So we will keep spend US$8 million to US$9 million OpEx for online.
Ella Ji: Okay, got it. Let me just have a quick follow-up relating to yourself in a marketing spending and since you have rolled out some product by end of last year such as uDA, we have not observed strong promotions relating to such online product. And as you will roll out more products throughout the calendar year 2015? How should we think about yourself in the marketing spending for the online product?
Stephen Zhihui Yang: Yes, uDA brand new so in kind of the test launch within English and a little bit math. So it has now being blown across the [indiscernible] so we think to do a lot of the promotions for the uDA and the aim for us is to put all the subjects in it, it will be a long-term program. So I think it’s just like the koolearn.com, once the product got to mature we doubled paid users like that - we double paid users in Q3 and once we fill the product with uDA as mature and accurate, but were used Q3 innovation channel besides our old ones and to blot and we will spend more on marketing expenses. So I think our strategy for the marketing is the product first and then the marketing promotions.
Ella Ji: Got it. Thank you Stephen they are helpful.
Stephen Zhihui Yang: Thank you, Ella.
Louis Hsieh: And thank you Ella for your compliment. I miss you too.
Operator: The next question comes from Tian Hou from T.H. Capital.
Tian Hou: Hi, Louis. So thank you for working with us and let us know your new enter and Steve congratulation on your new role and the question is related to actually not this quarter we are in, but rather related to your summer quarter and last year I do remember the summer quarter was kind of hit by multiple negative factors such as the misunderstanding the English examination policies as well as your summer boarding school and now we are approaching the summer and those issue maybe raised again, so I wonder what could be the situation this year?
Stephen Zhihui Yang: Okay, thanks Tian and for the summer it’s just - now it's April so as along which goal, but I hope that - I think in the coming summer we will not the same policy problem with the last year, I think well likely this year. And for the Spring classes I don't think we will hope the numbers will go up, but I think the class revenue will kept be flat with the last year. And yes you are right for the Q1 our K-12 business - the Q1 is not the peak season, but I think we will do as much as we can to get more to the enrollment and so, but I think to think about the student enrollments of the first to six week in the Q4 we are in the new trend. So I hope the trend will keep going forward. So we can - I don't know the detail number in the coming Q1, but I hope is much better than the Q1 last year.
Tian Hou: Okay, thank you Stephen.
Stephen Zhihui Yang: Okay, thanks Tian.
Operator: The next question comes from Jialong Shi from Credit Suisse.
Jialong Shi: Hi, good evening management and thanks for taking my call. Congratulation on the solid results. I have a quick follow-up and I think Stephen just mentioned the normalized enrollment growth would be 9.5% if we combine Q3 and the first six weeks in Q4. I just wonder if management can provide more colors on the normalized enrollment growth rate for a different tutoring programs and also given the strong momentum your K-12 program just wonder what will be the revenue growth rate you guys are looking at for next fiscal year? Thank you.
Louis Hsieh: Okay, thanks Jialong. Our growth is going to be driven by three parts, the U-Can, the POP Kids and overseas test prep with oversea consulting. So let me start with the U-Can, the U-Can is increased by about 30% in Q3 and student enrollment is up by 12%. So we add back the first six weeks in Q4 it will have been significant since growth with more than 30%. So in the long-term our U-Can will be the future of new rental, the student enrollment growth rate will be about 20% at least. And for the POP Kids we rolled the new product successfully and the kids for the three months and six weeks the enrollments was up by 20%. So in the long-term it will have the almost same the like student enrollment growth rate as U-Can maybe a little bit lower than U-Can. And for the overseas test prep the student enrollment growth will be flat because the whole market have been growth as fast as before and but I think the good news for us is the more and more Chinese parents rather to send their kids to study abroad in their younger age. So it’s not like before that means more and more young kids will take our overseas test prep program and it will help us to improve the ASP because you know the ASP for the SAT and TOEFL Junior is much higher than the GRE and GMAT. And overall the revenue of the oversea test prep will be 10% or 10% to 15% in the future and with zero student enrollment increase with the ASP increase by 10%. But if we combine the oversea test prep with oversea consulting business, the overseas consulting business was bulling in last four, five years and going forward the business overseas consulting will be increased at least to 25%. So the business line overseas will be increased by at least 15%. The only drag of our businesses adult English and domestic test prep, but it will decline by 10% in the last three years in a row anyway so and we moved most of the student to big class of the domestic classes from offline to online. So overall if you see the company as a whole and the overall student enrollment growth will be probably around 8% to 10% and price increase I think it will be like between the 5% to 10%, if you breakout the U-Can will be - the ASP for U-Can will be increased by 5% to 10% and for the POP Kids it’s 5%.
Jialong Shi: Thank you for the...
Louis Hsieh: So that's we got these revenue increased by 15% to 20% in the future.
Jialong Shi: Thank you for the color.
Louis Hsieh: Okay.
Operator: The next question comes from Leon Chik from J.P. Morgan.
Leon Chik: Hi, congrats on the results, just a couple of quick questions first on the U-Can enrollment is close to 12%, can I just confirm the enrollment does not include pure online students?
Stephen Zhihui Yang: Yes, not much include the pure it’s just the pure offline student enrollment of 12%.
Leon Chik: And I guess it works up to around 15% or so ASP growth, because your sales was up 29%. So what’s the breakdown between tuition increase and just student taking more courses is about half.
Stephen Zhihui Yang: Yes, we increased the price for U-Can is about 8% to 9%.
Leon Chik: Okay.
Stephen Zhihui Yang: And yes, so it’s timing difference of the Chinese New Year. So the trend is that to apple-to-apple comparison the basis, the student enrollment was up by 20% and the price increase is by 8% to 10%.
Leon Chik: Okay, thank you.
Stephen Zhihui Yang: Thanks.
Operator: The next question comes from Trace Urdan from Wells Fargo. Please ask your question.
Trace Urdan: Yes, thank you. I wondered if you could talk about the POP Kids ASP in a little bit more detail and specifically I’m interested in understanding what the trend is in class hours on a year-over-year basis.
Stephen Zhihui Yang: Yes, thanks Trace, good question. And we almost finished the rollouts of the new product of the POP Kids and the new POP Kids had used the - I think this is successful strategy to - I think that the strategy is to go after the market share first and increase the price later. So we will control the ASP increase of this fiscal year, what I mean in the coming Q4 maybe within the coming Q1 within the 5%, but after that we will increase the price of POP Kids above 5% it will be above the 10% year-over-year.
Trace Urdan: Right, but my question isn’t about the price increase you described that before it has to do with what the average number of class hours per student is, because that trend was down in the prior quarter and I am wondering if that still the case and when you’d expect that trend to level out?
Stephen Zhihui Yang: Okay, yes in the two quarters before we changed some of the class hours for some cities, so from the - like the half year class per course to three months and I think the trend will be continued, but it will - not the big changes as before. So I think the class length will be - we’ll keep stable in the future.
Trace Urdan: Just I understand, so the shorter length program which requires more repeated renewals on the part of the families, that’s part of the new rollout, am I correct about that?
Stephen Zhihui Yang: Yes, you are correct.
Trace Urdan: Okay, so will that - so we see that trend stabilized in the first quarter of next year?
Stephen Zhihui Yang: Yes.
Trace Urdan: For the second quarter of next year?
Stephen Zhihui Yang: Yes, the class lengths will be stable, because we almost finished all the O2O reference initiatives of the product of POP Kids, so the trend will be stable the class lengths.
Trace Urdan: All right, thank you.
Stephen Zhihui Yang: Okay. Thanks, Trace.
Operator: The next question comes from Alvin Jiang from Morgan Stanley.
Alvin Jiang: Hi, Louis, Stephen, Sisi thank you for taking my question. My question is on investments as you mentioned, this year will be investments year especially for those online initiative. So what’s your plan for next few years and do you have some kind of targets after achieving those targets you would consider to slowdown such investments?
Stephen Zhihui Yang: Yes, thanks that’s a good question I think and yes this year is the investing year for online and we almost finished the O2O reform for the POP Kids and we are doing for U-Can and overseas test prep or the business lines. Yes, we spent US$30 million to US$35 million in OpEx for online. The next year I think the number of investment will be as same as this year or little bit less because this year we hire lot of IT people and content writers and we cannot fire them after the job, so they will do a lot of follow-up jobs and but this year we spend some money on these third-parties as you saw this from outside the company. So next year we do need by parts. So I think the - in the next year the total spending will be little bit less than this year. Okay.
Leon Chik: Okay thank you.
Operator: The next question comes from [Alan Lee] from Deutsche Bank. Please ask your question.
Unidentified Analyst:
 out :
Stephen Zhihui Yang: Okay, we needed to - I mentioned last year and launch uDA and I think the first step of the corporation between New Oriental and Tencent and as you know we have the best content and teachers and they have the most advanced distributors channels and so we are exciting to seek corporation between us and I think you will see some announcements in the future. But it’s too early to say because it’s been confidential. And for the uDA you know as I said earlier because you know we only have the subject English and a little bit more in math. So we just want to put all the subjects all grades the questionnaire, the question and answers into the uDA and then we will use the - like the Weixin or QQ to blow all the products. So I think the Tencent will help us to distribute our new product online. Okay.
Unidentified Analyst: Okay, thanks.
Stephen Zhihui Yang: Thanks.
Operator: The next question comes from Clara Fan from Jefferies. Please ask your question.
Clara Fan: Hi, hello, thank you for taking my question. I got two questions first is I guess the ASP growth this quarter was better than last two quarters is it due to the late Chinese New Year that’s why there were less enrollment this year that ended up with 13% increase in ASP. So I am just wondering if what would be the ASP growth - if we do it on a normalized basis and what is the ASP growth expected in the next quarter. And my next question is on your operating profit margin its better than expected and in particular we see that the selling and marketing expenses in actual amount it was less than last quarter and if we look at it as a percentage of revenue on a year-on-year basis is also down 0.4 percentage point. I am just wondering what is the reason behind the lower selling and marketing expenses this quarter and what should we expect going forward. Thank you.
Stephen Zhihui Yang: Okay I will answer the second question first. For the selling expenses I think the first driven for the selling expenses not increased so much is because we just opened six learning centers net in Q3. So that means we don’t need so much - the market expenses for the new learning centers. The second one is we almost finished the O2O reform for the POP Kids, so that’s - we do need so much market expenses. Once we roll out - like the overseas test preps in the U-Can we will spend little bit more but not as much as the like the two or three callers before as the POP Kids because more and more students and parents will know the product, the quality of the products are much better than the older versions. And your first question is about the POP Kids the ASP and I think you might misunderstand about our the ASP because I think you know the GAAP revenue is 13% in Q3 and the enrollment is flat, but the cash revenue of the Q3 will be also flat. So the ASP of the Q3 will be flat but as I said earlier if we added back to the first six weeks. The ASP will be like 4% to 5% is on purpose. So in the coming Q4 I think the ASP will be lying between 5% to 10% and next year will be much higher than this year.
Clara Fan: Thank you.
Stephen Zhihui Yang: Okay thanks.
Operator: We are now approaching the end of the conference call. I will now turn the call over to New Oriental's President and CFO, Stephen Yang, for his closing remarks.
Stephen Zhihui Yang: Again, thank you for joining us today. If you have any further questions, please do not hesitate to contact me or any of our Investor Relations representatives. Thanks.